Operator: Good morning, ladies and gentlemen, and welcome to the Tourmaline Quarter 2 Results Conference Call. [Operator Instructions] This call is being recorded on Thursday, July 29, 2021. I would like to turn the conference over to Scott Kirker. Please go ahead.
Scott Kirker: Thank you, operator, and welcome, everyone, to our discussion of Tourmaline Oil Corp’s results for the three and six months ended June 30, 2021 and 2020. My name is Scott Kirker, and I’m the General Counsel of Tourmaline. Before we get started, I refer you to the advisories on forward-looking statements contained in the news release as well as the advisories contained in the Tourmaline annual information form and our MD&A available on SEDAR and on our website. I also draw your attention to the material factors and assumptions in those advisories. I am here with Mike Rose, Tourmaline’s President and Chief Executive Officer; Brian Robinson, Vice President of Finance and Chief Financial Officer; and Jamie Heard, Tourmaline’s Senior Capital Markets Analyst. We will start by speaking to some of the highlights of the last quarter and our year so far. After Mike’s remarks, we will be open for questions. Go ahead, Mike.
Mike Rose: Thanks, Scott, and thanks, everybody, for dialing in. And we’re pleased to review our second quarter results and answer questions that shareholders may have. Starting out with the highlights, second quarter of 2021 cash flow was $1.89 per diluted share. We had record free cash flow of $343.9 million on production of 410,399 BOEs per day, which exceeded the high end of production expectations, despite challenging operating conditions with June’s heat wave. The updated five-year plan at current strip pricing delivers $1.8 billion of free cash flow in 2022 and $7 billion over the full five-year duration of the plan. We received a credit rating upgrade from BBB to BBB-high in July of 2021 by DBRS Morningstar. We now expect to achieve our year end 2021 net debt target of approximately $1 billion or 0.4x net cash flow and less than 1x annual free cash flow prior to year end. With incremental volumes on the GTN Malin/PG&E systems and the company’s recently announced Gulf Coast LNG pathway in 2023, Tourmaline will have 905 million a day exposed to export markets on firm long-term transport agreements by exit 2023. Our largest export market, PG&E California, is currently trading at $5.50 per MMBtu in U.S. dollars. Looking at production in a little more detail, as mentioned, second quarter 2021 average production was a little over 410,000 BOEs per day, and a little over 414,000 BOEs per day prior to storage injections into our storage reservoirs in California and Dawn. So that’s a 37% increase over the prior year Q2 2020. We anticipate third quarter average production will range between 450,000 and 460,000 BOEs per day. We expect to reach the 500,000 BOE per day production milestone in Q2 of 2022, primarily through the completion of the Gundy Phase 2 project, the Nig Creek expansion project and the ongoing Laprise development program. 2021 average production for the year remains estimated at 430,000 to 445,000 BOEs per day. Looking at our very strong financial results. Second quarter 2021 cash flow was $570 million compared to $225 million or $0.83 per diluted share in Q2 2020. Second quarter 2021 after tax net earnings were very strong at $428 per million – sorry, $420 million or $1.40 per diluted share and that compares to $20 million or $0.07 per diluted share in the second quarter of 2020. We delivered free cash flow of $344 million on EP capital spending of $216 million in the second quarter. Full year 2021 cash flow of $2.78 billion is now expected with estimated free cash flow for 2021 of $1.47 billion. We received the credit rating upgrade in July of this year, following the close of the Black Swan acquisition, moving up to BBB-high from BBB for both the issuer rating and the senior unsecured notes. The credit rating upgrade is expected to result in lower effective interest rates on company debt, which already are extremely low and in the top-tier at 1.72% for the second quarter. Revisiting the capital program and the financial outlook. Second quarter 2021 E&P capital spending was on target at $216 million, full year 2021 EP capital spending remains at $1.27 billion. Net debt at June 30 of this year was $1.7 billion, which excludes the two Northeast BC transactions, which with Topaz, which yield $390 million in cash, both of which will close in the third quarter of 2021. Exit Q3 2021 expected net debt is approximately $1.4 billion, including the impact of all acquisitions completed to date in 2021. We now expect to achieve the year end 2021 net debt target of approximately $1 billion. As at July 15, 2021 Tourmaline’s Topaz equity ownership was valued at $934 million, which essentially offset the estimated 2021 year end net debt. As mentioned the updated five-year plan and current strip pricing now delivers $1.8 billion of free cash flow in 2022 and $7 billion over the full five-year duration of the plan. Looking in a little bit more detail at the growing free cash flow outlook and our plans. Our consistent 2021 narrative has been that our top two priorities are modest sustainable dividend increases and continue debt reduction to our long-term debt target of 0.5x debt to cash flow. So far in 2021 we’ve used free cash flow for two dividend increases and we now expect to hit that long-term debt target during Q4 of this year. As we look out to 2022 and the full five-year plan, the vast majority of the free cash flow will be returned to shareholders, we’ll provide more detail on the mix of the return opportunities over the upcoming two to three months, including continued sustainable base dividend increases, special dividends and share buybacks where appropriate. We see special dividends matching up well to periods of elevated commodity prices and the excess free cash flow generated during those periods. Recall that our annual EP program generates 3% to 5% annual growth. And the only significant facility project of size in the current five-year plan is the Gundy Phase 2 expansion. And it will actually be done by the end of this year. The balance of the program in the out years is, thus, very capital efficient and we’ll continue to do generate significant free cash flow. The next large facility project is the Conroy North Montney development, which we’ve matched up to the LNG Canada startup when we expect very strong Western Canadian gas pricing, that timeframe is 2025, 2026. Hence this project not in the current five-year plan, it could be as large as $800 million per day. It will be a very strong utilization of free cash flow when the 2026, 2027 timeframe. We also have an initiative to capture more margin in our liquids business and are currently evaluating strong return projects to that end and this new business segment. These projects will compete for a portion of the free cash flow in the 2024, 2025 timeframe. A Brief marketing update. The average realized natural gas price in Q2 2021 was $3.25 per mcf, as we’ve benefited from rising commodity prices, select hedging and our broad natural gas market diversification portfolio throughout North America. The accelerated Gundy Phase 2 expansion project is expected to be on stream in January 2022, so as to take advantage of potential winter gas price premiums. And we made that acceleration decision a couple of months ago, as we were ahead of schedule on the facility pre-built. The PG&E California market continues to be very strong an average Q2 benchmark price of $4 per MMBtu U.S. and strip pricing at July 23, 2021 of $5.48 per million BTUs U.S. for the remainder of 2021. NGL price realizations in Q2 2021 were up 130% over Q2 2020. We are Canada’s largest NGL producer averaging 55,500 barrels per day during the second quarter. And the NGL pricing outlook continues to improve. Briefly some comments on the EP program. We drilled 114 net wells in the first half, and we expect to drill approximately 250 net wells for full year 2021, completing approximately 220 of these by the end of this year. We are currently operating 12 drilling rigs and we’ll add an additional rig on the former Black Swan lands in September, as originally planned. We expect to bring approximately 140 net wells on stream through the balance of this year. Improved drilling time and cost performance for D&C operations has largely offset modest inflationary cost pressures that we are all observing. Drilling times have been materially reduced in all three core complexes through the application of multiple evolving technologies that we continue to trial. Recent horizontals in the Laprise BC Montney area are now being drilled to TD in five days. Overall, the second half 2021 EP capital program is being executed slightly ahead of schedule. Moving to our environmental performance improvement initiatives, we intend to invest $20 million to $40 million per year in these initiatives, primarily in the areas of diesel displacement for EP drilling and completion operations, methane emission reduction and ultimate elimination projects, gas plant emission reduction and associated waste heat recovery installation and our multiple water management projects. The majority of these environment related capital investments do indeed generate a modest positive return. We estimate that environmental initiatives to date have reduced our annual emissions by approximately 250,000 tons per year, so far a meaningful accomplishment. We have now installed over 200 zero emission electric chemical injection pumps providing an estimated GHG reduction of 40,000 tons of CO2 equivalent per year. The first hybrid gas tier 4 frac unit has been delivered and we’ll be pumping on our BC Montney pads in the second half of 2021. Evolving zero methane emission technology is being implemented on all new well sites in all company operated areas. And finally, the engineering design has been completed for the NGIF Emissions Testing Centre. That East Edson facility is expected to be fully operational later on in Q3 of this year. And this center will be evolving the next generation in emission reduction in the field. These are all technologies to be put in place during the next two to five years, we’re not waiting for 2050. And that’s the end of the formal comments. So we’ve got several of us here to answer any questions shareholders might have.
Operator: Thank you. [Operator Instructions] Your first question comes from Fai Lee with Odlum Brown.
Fai Lee: Hi. It’s Fai here. Mike, I’m just wondering about this Gulf Coast LNG pathway. I just want to confirm if the – are the volumes moving on the TC pipeline Alberta Xpress AXP project, is that how the volumes are getting to the Gulf Coast?
Mike Rose: Well, that – yes, but there’s really four pipeline segments to get it there, all Trans-Canada operated if you go all the way back to the NGTL system. And the total tolls are $0.86.
Fai Lee: Right. And is there potential room for expanding those volumes that you’ve – in the future or is it kind of what you kind of – the agreement you’ve reached is kind of sort of the maximum point?
Mike Rose: I think we’ve taken up all the available space in that pipeline system.
Fai Lee: Okay. Yes, that’s what I wanted to get. That’s what it looked like. Okay. Great. And in terms of returning cash to – return cash to shareholders, the free cash flow, in terms of share buybacks, I’m just wondering – I know you had provided more detail there, but do you have any initial thoughts on how you’re going to handle the share buyback? Do you have some criteria in mind or how that’s going to be handled relative to preference versus a special dividend?
Mike Rose: Well, it will be in the mix of return to shareholder opportunities. We just renewed our NCIB, as you probably saw when we announced the closing of the Black Swan transaction.
Fai Lee: Right, but do you have a like – like there’s some criteria, you say, okay, well, do a share buyback in risk conditions or are you just going to try and come up with some sort of mix between the two?
Mike Rose: Well, we’re finalizing what the mix between all the various return opportunities are. I mean, obviously – and our actions have demonstrated that we like base – sustainable base dividend increases and in times and periods of significantly more free cash flow, the model, we like the special dividend as well.
Fai Lee: Okay. All right. Thank you.
Operator: Your next question comes from Sean McPherson from Industrial Alliance.
Sean McPherson: Good morning, guys.
Mike Rose: Yes, we can’t hear you very well.
Sean McPherson: Sorry about that. How about now?
Mike Rose: That’s a little better.
Sean McPherson: Okay. Earlier this month, you guys announced a focus on cutting costs with each dollar supposed to add like $180 million to free cash flow. Any idea of how many dollars in costs you might be able to cut?
Mike Rose: Well, I mean, our goal internally is to initially try and shave $1 off over the next – or $1 of improved margin over the next 12 to 18 months. So we’re working away on it and we’ve actually made good headway already.
Sean McPherson: Awesome. Thank you.
Operator: Your next question comes from Josef Schachter from Schachter Energy Research.
Josef Schachter: Good morning, Mike. It’s Josef Schachter. Two questions for me. First one on the technology side. We’re seeing more comments in the States about intelligent fracking systems. Are you using that in Canada? And are you finding that the well productivity using these new frac and there’s a DGB unit capable of doing that, the new unit that’s coming on, as you mentioned, in the next short while?
Mike Rose: That technology specifically is not something we’re trialing right now, but we’re always evolving and improving our frac technology and performance and simultaneously trying to deliver better well performance for less dollars. So it’s never complete. It’s always improving.
Josef Schachter: Okay. So real-time fracking is not really something that’s really shown up that much yet in terms of improvement and well performance?
Mike Rose: Well, I mean – yes. That specific technology we’re not using, but I mean, we are certainly using real-time frac technology as we stimulate these wells.
Josef Schachter: Okay, super. Second question for me on the M&A side. Is there much more available in your two core areas that you’re looking at and – or do you have really the footprint you want? And the part of – the additional part then is, are you looking to build a third core area and would that be again in natural gas and NGLs or would you be looking at a core area in, let’s say, conventional of the oil business?
Mike Rose: We’ve largely acquired the targets that we wanted in the Alberta Deep Basin and the BC Montney, which are our two large gas complexes. It doesn’t preclude us from doing small, and I mean small bolt-on asset transactions within either of those areas, but we have nothing close on that front anyway. We have a third core area, and that’s our Peace River High, Charlie Lake, Montney, and it’s about 60% oil, 40% gas, and it generates this year about $100 million of free cash flow on a $70 million capital investment. So we really like that area, even though it’s significantly smaller than our two large gas complexes. And as far as establishing a fourth core area, we have so much inventory, so many projects and so much production in the three complexes we have already that we have decades of drilling and EP development to put in place. And so I think we’re very happy with what we have under Tourmaline supervision right now.
Josef Schachter: Super. Congratulations, again on a great quarter. Thank you.
Mike Rose: Thanks, Josef.
Operator: Your next question comes from Dan Lloyd from Forge First.
Dan Lloyd: Good morning, guys.
Mike Rose: Hi.
Dan Lloyd: I’m just curious if you can give some color or maybe the Tourmaline perspective on the BC government Blueberry River First Nation judgment? And then kind of a follow-up I guess if you could maybe speak to ideally the strength of your relationship with the Blueberry River First Nation?
Mike Rose: We’ve been working in that North Montney area in and around the BRFN for over five years and I think we’ve established a good working relationship, and we continue at our full operational pace in that subarea within our overall BC Montney complex. And then all I would say on the government was that I believe they chose not to appeal the BC Supreme Court decision, and I think that ruling came out yesterday.
Dan Lloyd: Great. Okay.
Operator: [Operator Instructions] There are no further questions at this time. Please proceed.
Scott Kirker: Thanks, everyone, for dialing in. We’ll talk to you next quarter.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.